Operator: Good day, ladies and gentlemen, and welcome to the Acadia Trust Q1 2019 Earnings Conference Call. At this time all participants are in listen-only mode.  [Operator Instructions] As a reminder, this conference call may be recorded for replay purposes. It is now my pleasure to hand the conference over to Angie Cho. You may begin.
Angie Cho: Good afternoon, and thank you for joining us for the First Quarter 2019 Acadia Realty Trust Earnings Conference Call. My name is Angie Cho, and I'm an analyst in our development department. Before we begin, please be aware that statements made during the call that are not historical maybe deemed forward-looking statements within the meaning of the Securities and Exchange Act of 1934, and actual results may differ materially from those indicated by such forward-looking statements. Due to a variety of risks and uncertainties included, those disclosed in the company's most recent Form 10-K and other periodic filings with the SEC, forward-looking statements speak only as of the date of this call, April 25, 2019, and the company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures, including funds from operations and net operating income. Please see Acadia's earnings press release posted on its website for reconciliations of these non-GAAP financial measures with the most directly comparable GAAP financial measures. Now it is my pleasure to turn the call over to Ken Bernstein, President and Chief Executive Officer, who will begin today's management remarks.
Ken Bernstein: Thanks, Angie. Good afternoon. I'm going to start with a brief overview of some of the trends we're seeing and the drivers of our business, then John will discuss our first quarter results and our forecast. In terms of the broader economy, over the past several months, we've seen a pivoting from a year ago, when we were pondering global synchronized growth and rising interest rates and now more recently where we've seen a deceleration of global growth and a pausing by the Fed. The current economic environment in the U.S. sets up pretty favorably for portfolios like ours. But during these periods of transition, we find it worthwhile to look a bit more closely at our retailers performance and their prospective activities for them and any signs of an economic slowdown. As John will discuss further, so far based on our default rates, our credit loss, our new lease activity, we don't see signs of retailers pulling back due to any recent shifts in the economy. So, if there is a looming recession, it's not yet showing up in our retailer activity. It's also important to keep in mind, irrespective of the state of the current economy, retailing and retail real estate is still working through a multiyear highly disrupted evolution. And this evolution will likely play out with only the slightest correlation to the economy, meaning weak retailers are going to continue to go away irrespective of how strong the consumer is feeling. And strong retailers, especially those with strong locations and omnichannel platforms, well, they're likely to even get stronger even if the economy cools. This separation of the haves and have-nots both in retailers and retail real estate, it's accelerating. And we're seeing it reflected in the strong performance of our Core portfolio, especially our street and urban assets. And since the majority of the value and the majority of the growth in our Core portfolio comes from our street and urban properties, this positions us well for continued growth. So, even while retailers continue to refine their fleets, grow their online sales, attempt to profitably do more with less, they consistently tell us that locations like ours remain on their must-have list, especially as they go back on offense. But even must-have locations, must-have rents, that are rational. So as we've discussed many times over the past few years, in the 2010 to 2015 period, rents grew significantly. The pendulum it swung too far, too fast and it needed to correct. Now we were careful not to get overexposed to this excessive growth and thankfully we dodged a bunch of bullets. And as we have seen starting a couple years ago, market rents began dropping and in some cases significantly. The pendulum began swinging back in the other direction, and as pendulums are inclined to do, it's likely overshooting it again. Thankfully, due to a combination of new emerging brands as well as strong retailers going back on offense, we're beginning to see enough new activity to feel the swing of the pendulum beginning to reverse itself. We see this amongst the digitally-native retailers who are now consistently recognizing that physical real estate is an essential pathway to their profitability. We see this in multiple locations in our portfolio, but probably one of the best examples is in our Armitage Avenue properties in Chicago, where we have recently leased the final two stores in our building 9-building portfolio. Screens-to-stores retailers started here with Warby Parker and Bonobos, now they include Serena & Lily, Allbirds, Outdoor Voices. And most recently last quarter, we signed leases with Parachute Homes and Lively. And what these retailers are telling us is that this clustering works well for them. And then from our perspective, having a concentration of stores in 1 sub-market tends to work to our benefit as well. As we're filling up this corridor, we're seeing renewed vibrancy on the street and solid growth in market rents. And this synergistically benefits all of our properties in Armitage. Also keep in mind, the successful marriage of online and physical storage is not limited to just emerging screens-to-stores retailers. We are seeing established retailers ranging from Target to Walmart, from Apple to lululemon also successfully capitalized on this omnichannel benefit and on the halo effect of using physical stores to drive overall growth and profitability. Furthermore, our leasing activity is not just limited to young brands or small formats. For the right locations, larger format retailers are showing up. This includes Uniqlo replacing H&M on our State Street property. It includes Whole Foods joining our redevelopment in San Francisco. In addition, we're also seeing luxury showing increased activity. At our Madison Avenue property at the Carlyle, we recently signed a second important lease. This one with Monica Vinader, who will join Vera Wang in our recently opened Gabriela Hearst. Now this is not ignoring the fact that many of these markets still have too much vacancy and the reshuffling of the deck of retailers is still playing out. This means it is still a bumpy road and it is still a tenant's market. But for portfolios like ours, in key supply constrained markets the tide is turning and as confusing as it may seem, vacancy actually creates opportunity. It enables new exciting retailers to profitably enter certain corridors and it also creates investment opportunities for those of us capitalized to pursue them. As these shifts are playing out, we see three important areas where we can again start to drive meaningful shareholder value. The first is through the NOI growth embedded in our Core portfolio. As John will discuss, we have forecasted 3% to 4% NOI growth this year and for the next several years based on contractual growth, lease-up, mark-to-market of rents and then the completion of our two key redevelopments. And the math works as follows: 3% NOI growth equates approximately to $4 million in NOI and that's approximately $1 per share of NAV value creation per year. And while we have been able to create this level of growth fairly consistently over most years, to state the obvious, when we had limited growth this driver contributed little and such was the case in 2017, but beginning in the second half of last year and now continuing as we look out over the next several years, we see strong growth notwithstanding a variety of potential headwinds that exist in the retail environment. And if we can continue to drive this growth over the next several years, the contribution is impactful. Then the second driver of incremental growth is external growth generated by adding additional properties to our Core portfolio that are consistent with our long-term growth strategy. When the timing is right, the accretion from this component of our business can be potentially as impactful as our Core internal growth. Now this driver was not available in 2017 and it was not available in 2018. In fact, the only investments we made on balance sheet last year was the accretive repurchasing of approximately $50 million of our stock at approximately $24 a share. And not only did we not have a competitive cost of capital in 2018, but sellers were not yet willing to recognize the shifts in rents and the shifts in values on the key streets, where we believe the most significant long-term value will be created. So we waited patiently. And we're now seeing things begin to turn sufficiently for us to begin to go back on offense. Our focus here is to acquire properties that through a combination of contractual growth and lease-up, can be accretive to our current internal 3% to 4% growth rate. And to the extent that these corridors experience a rental market recovery at a rate in excess of the broader market, now that's even better. In the first quarter, we began to acquire some assets in SoHo, a market that has certainly gotten beaten up, but where retailers are telling us at the right rents, it's a key market for them. Our first portfolio of properties that we're in the process of acquiring is approximately $100 million portfolio of retail buildings concentrated on Greene and Mercer streets in SoHo, both streets that our retailers tell us they're focused on. As you know, we generally like building a concentration of ownership on specific streets and specific corridors. You've seen us connect the dots on Rush and Walton, on Armitage, on Clark and Diversey in Chicago. You've seen us do it on M Street in D.C. And if the stars align, we attend to do the same here. As always, we'll be disciplined, but we believe that our shareholders will be well rewarded as we grow a highly differentiated portfolio of great street and urban assets in the key gateway markets that we're active in. These are locations that our retailers are telling us is the future for them. And as we have seen in recently announced transactions, the global investment community continues to price. And provided that the timing is right, given the relatively small size of our Core portfolio, the ability to meaningfully grow this asset base is something that we can do in the normal course of business. Now this is not easy, it's not for amateurs. We've been building this expertise over the past 20 years during the 2010 to 2015 period, too many investors jumped in. Some were too inexperienced, others too thinly capitalized or had unrealistic growth expectations, most of that crowd has cleared out. So we're excited by the opportunities that we're beginning to see here. Then the third leg of growth is our fund business. Not only does it help us keep the lights on and punch above our weight, but when we are in a period of normal transactional activity, we should be able to add an incremental $0.05 to $0.10 of accretion from this investment activity, which also equates to similar incremental shareholder growth as the first two drivers of our business. Amy is finishing up her maternity leave and looking forward to filling you in with greater detail on our next call. But on the interim, I'll spend a minute discussing our fund investment activity. As we discussed on our last call, after a relatively quiet 2018 from an acquisition perspective, we are seeing a pickup in actionable investment opportunities and already have an equivalent amount of transactions in our pipeline as we close in all of 2018. Those contemplate transactions are proceeding nicely. In the first quarter, we closed on Riverdale shopping center for $42 million in partnership with CCA Acquisition. This Target-anchored center outside of Salt Lake City fits very nicely into our high-yield strategy and has some decent growth prospects as well. In addition to this acquisition, we have another approximately $130 million of transactions under agreement that are a nice blend of higher yielding as well as value add. Then behind these investments, we are seeing additional potential transactions that will hopefully pencil out. In short, our buy, fix, sell model seems to be doing what we expect. We are making progress on several of our redevelopments. We are in the process of harvesting some more mature investments and we look forward to this third driver of our business adding to our growth goals. In summary, when you look at these three potential drivers, the internal growth in our Core portfolio, the potential growth from Core portfolio acquisitions and the accretion from our profitable fund business, we feel we're nicely positioned to drive growth over the next year and for several years to come. With that, I'd like to thank the team for their hard work last quarter, and I'll turn the call over to John.
John Gottfried: Thank you, Ken, and good afternoon, everyone. I will start off with an overview of our first quarter performance and an update on our 2019 guidance, and then closing with our balance sheet and the financial impact of our most recent Core acquisitions. Starting with same-store NOI, as Ken discussed, our first quarter same-store NOI came in strong and ahead of our expectations at 4.6%. This strength was driven by contractual rental growth, along with better-than-expected credit loss and our quarterly results included roughly 100 basis points from the profitable net lease-up that we accomplished in 2018. While we are very encouraged by the strong quarterly results, it's a bit too premature in the year to reduce our budget in credit loss and thus, are holding our annual same-store guidance at 3% to 4% growth. However, should this positive credit loss trend continue throughout the year, we'd expect to land at the higher end of our range. And conversely, if the economy would just slow further, we believe that our portfolio is very well positioned. We have a nice balance of recession-resistant retailers, including Target, Whole Foods, Trader Joe's, T.J. Maxx, along with others that make a significant portion of our portfolio. Now drilling into our growth a bit further. As we have highlighted on our past call, our street and urban portfolio was projected to significantly outperform our suburban assets in the upcoming year. And in fact during the first quarter, we saw this play out. With our street and urban portfolio outperforming our suburban by approximately 400 basis points and we continue to see this trend continuing as we look forward over the several years. Additionally, as we have previously highlighted, our NOI is split roughly 50-50 between our suburban and street and urban portfolio where the much higher percentage of the underlying value resides in our street and urban assets. Had we weighted our same-store growth this past quarter, based upon value and not NOI, it would have been nearly 100 basis points higher. Now moving on to leasing velocity. We had initially projected $8 million of annual NOI from lease-up in our 2018 budget. As we had announced on our last call, we had accomplished that goal and had suggested that the $8 million of NOI was trending closer to $9 million. As we had outlined in our press release, our most recent leasing efforts are further supporting the $9 million with several key leases being signed or nearing completion in Chicago, in both Lincoln Park and on Rush and Walton, on Madison Avenue as well as meaningful progress on several leases throughout Manhattan. We are seeing rents in these spaces continuing to come in at or above expectations. Now in terms of rent spreads, all of which were in our street and urban portfolio. Comparable new leases came in at 27% and 8% on a GAAP and cash basis. Renewals occurred solely within our suburban portfolio and were fairly flat. So overall, our quarterly same-store NOI growth and continued strength in our core leasing business is playing out consistent with our plan. So not only do we feel good about our 2019 same-store NOI growth, but we have continued in strength and in conviction about sustaining 3% to 4% of NOI growth, inclusive of redevelopment over the course of the next several years. And as I will talk about in a moment, our most recent core acquisitions in SoHo complement our portfolio nicely and will be further accretive to what we already expect will be sector-leading growth. In terms of earnings, our first quarter FFO came in strong and above our expectations at $0.39 per share, with outperformance in both our core and fund businesses. As we have previously highlighted, we recognized a onetime benefit of approximately $0.07 in the quarter upon the recapture of the H&M lease. We anticipate delivering the former H&M space to Uniqlo during the second quarter with rent commencement in the fourth quarter. Consistent with the discussion on our same-store guidance, while we are off to a strong start and above our expectations, we have also retained our FFO guidance at $1.34 to $1.46, with the variability primarily being driven by transactional activities that we continue to anticipate in the second half of the year. As a reminder, we adopted a new accounting standard in 2019 for lease accounting. We expect that this will have an annual impact of reducing our FFO by $0.02, which is already reflected in our guidance. And I want to spend a moment on our most recent core acquisitions. As Ken discussed, we acquired a 6-property portfolio for $96 million, two of these six properties have closed during the quarter at a cost of approximately $32 million with the balance expected to close over the next several quarters. We match funded the closed acquisitions using equity raised through our ATM at an average growth issuance price of approximately $29 a share. Now in terms of the balance of funding for the remaining portfolio, given the strength and liquidity of our balance sheet, we have numerous avenues, including expected repayments in our structured finance book, capital recycling within our funds, along with retaining capital from the REIT and significant capacity on our lending facilities. Whenever we put of our investors capital to work, we think through a number of factors and this portfolio met our underwriting criteria. First off, we look at investments that will complement, if not exceed our existing internal growth hurdle, which we have targeted as 3% to 4%. We are projecting NOI growth of over 5% over the next several years in this portfolio, which is being driven by contractual rental growth and mark-to-market on expiring leases.  Further, we see that yield on our cost growing to 5% to 6% in the next few years, along with Day 1 FFO accretion, albeit fairly nominal in 2019. Secondly, we think about the cost of our capital. While we certainly always hope or wish for a higher stock price, we were comfortable issuing our equity at $29 per share as it enabled us to acquire these assets at a going-in-cap rate that was accretive to the implied cap rate of our existing portfolio. Additionally, while closing the remaining portion of the SoHo portfolio is subject to various customary contingencies, thankfully our stock price is not one of them and why we will always evaluate market conditions to accretively match fund our investments. As I just mentioned, we have ample liquidity and are very comfortable acquiring the remainder of the portfolio, while at the same time maintaining our best-in-class balance sheet. In terms of our balance sheet, it continues to remain exactly where we want it, in terms of overall leverage, borrowing cost and maturity profile.  In summary, we had a strong quarter. As Ken highlighted in his remarks, our financial results reflect the meaningful value creation that occurs when we deliver strong internal growth, coupled with external growth opportunities and a currency to fund it. Our experience and deep management team is ready to capitalize on these opportunities. With that, I will turn the call over to the operator for questions.
Operator: [Operator Instructions] And our first question will come from the line of Christine McElroy with Citi. Your line is open
Christine McElroy: Hey good afternoon everyone. John, just a follow-up on your comments on the SoHo deal. Are you able to provide that going-in-cap rate? And maybe you can sort of speak more philosophically about the decision to start buying here. You've been pretty quiet on that front for a while in the Core. And is this sort of – should we be thinking about this as more one-off or is there more things that you're looking at doing here?
Ken Bernstein: Why don't I take a crack at that, Christy? We are not going to lay out the specific going-in-cap rates. But I think, John was pretty clear that the bar is pretty high and that if our internal growth is 3% to 4%, we threw a variety of in-place cash flow, lease-up of vacancy or other items, we're going to need to be in excess of that. And we are going to need transactions that are also accretive to our current cap rates, NAV, et cetera. You could probably back into, but it's going to vary building by building. The first $100 million is in SoHo and whether this is a one-off transaction is dependent on the stars aligning. We need to have a cost of capital that enables us to be competitive with cash buyers. And as I mentioned in my prepared remarks, there are far fewer cash buyers out there, but there is still enough that if we do not have a cost of capital that makes sense, then this will be one-off. And then the second piece is, we need to continue to see in a bumpy road, the enthusiasm from our retailers to come to these markets, such that we can believe and so far we're seeing that, that there's going to be a nice bounce back in terms of market rents. The amount that market rents have fallen over the last couple of years, we've all been watching, it has been significant. So thankfully, we're seeing new tenants showing up and they're providing enough support on certain streets at the right rents for us to get bullish as we are on this first portfolio.
Christine McElroy: Okay. Thanks. And then just understanding that the H&M closure within the quarter and that the quarter end commence occupancy is reflecting that. Could you maybe tell us how much NOI flow through Q1 that won't be recurring in Q2? And sort of how does that play into the trajectory of same-store growth into Q2 and sort of the rest of the year?
John Gottfried: Yes. Good, Christy. So I think we had, as we had talked about, got back H&M and right at the end of the quarter, so a good chunk of the quarter reflected the NOI from the H&M lease. As I said in my remarks, we intend to give that space to Uniqlo in the next couple of weeks, and they should be rent paying in the fourth quarter. Don't want to give specifics as to the exact NOI from H&M, but it's 28,000 square feet and you should assume the majority of the quarter reflected that. Other big movements of some of the leases I had talked about the Madison Avenue lease that we signed. We think that one will be rent paying by mid second quarter. During the quarter, we also, and Ken mentioned, in Lincoln Park and Armitage, which is completely sold out. Outdoor Voices started this quarter as well as Allbirds and the two additional leases we signed that fill up the block should start in the second and third quarter. So in terms of quarterly same-store NOI, what I would tell you is, as I mentioned, we feel very good about the 3% to 4% for the year. But on a quarterly basis, while I certainly have a view and we have models, there's so many variables that could move around, I think, really don't want to get into projecting specific percentage quarters, but rather looking at the annual basis in the 3% to 4% that we feel very strong about.
Christine McElroy: Okay thank you.
Operator: And our next question will come from the line of Todd Thomas of KeyBanc Capital market. Your line is now open.  Todd Thomas of KeyBanc Capital market Just Ken, first question. Back to the investment in the Core, the SoHo collection. So the first two properties were leased as indicated. Can you just describe a little bit more about those, the portfolio itself? How much term is left on those leases and can you describe the tendency for the other 4 assets in that collection?
Ken Bernstein: It is a variety of tenancies. Many or most of them are tenants that we're very familiar with. In one or two instances, there will be lease-up opportunities, meaning either the lease term is very short or we're in the process of working on that lease-up. I don't want to give more detail because there's moving pieces around it. But you should expect on Greene Street, on Mercer, the kind of tenants that you're seeing showing up, whether it's retailers we're working with in Lincoln Park, Chicago or down in D.C. or elsewhere. Thankfully, there are a bunch of retailers who are recognizing they need to have these key locations and that they especially want them where they can drive their brand. And as I mentioned in the prepared remarks, a gain from a halo effect, and so we're very encouraged by what we're seeing. And as we close them, as we announce who the tenants are then we'll certainly give you more color on that.
Todd Thomas: Okay. And then the investment opportunities that you're beginning to see surface for the Core portfolio. Are they primarily in SoHo or in Manhattan or are you seeing some of these opportunities begin to surface a little bit more broadly? And are there any new markets that you're looking to enter as you begin shifting to offense for the Core?
Ken Bernstein: So, from a retailer perspective, when we sit with our retailers, whether they are these new, young brands or Target and Trader Joe's, and T.J. Maxx, we're hearing a pretty consistent statement that here are the key markets we want to be in and thankfully those are primarily the key markets we're involved with. D.C., New York, Boston, Chicago, San Francisco. You can add other markets to that list. L.A. would be one of them, for instance. But we've always been pretty clear that at least as we're starting to go back on offense, we're much more inclined to avoid paying what we've referred to as the dumb tax of getting into a new market and we should be able to be better informed, more confident and better execute in those markets that we're active in day in, day out. So within that, the market that I think has gotten beaten up the most is New York City for a variety of reasons, partially because rents grew too fast in New York more so than elsewhere. But from a tenant's perspective, I'd say the enthusiasm we're seeing in Chicago is very re-enforcing. The good news is we have a very meaningful portfolio in Chicago, so I'd rather see it grow in New York, D.C., couple of the markets first. But these are all markets that our retailers are saying this is where they're going to be. Watch Target's activity, watch lululemon's activities, watch Whole Foods and the list goes on.
Todd Thomas: Okay. And then just one last question, just shifting over to the City Point. Just wondering if you could give us an update there on the status of the ground floor leasing, the shops are still just a bit over 20% leased and the ABR for the asset fell a little under $9 million. Just wondering when you think the environment will be right to begin signing permanent lease deals there for the shops, and I see that you have the projected stabilization date to be 2020, just looking for an update there.
Ken Bernstein: Yes. And the ground floor leasing has taken longer than we had hoped, than we thought. For the most part, thankfully, we did not sign leases with the wrong retailers. So we haven't had to go through that. And thankfully, Alamo Drafthouse is crushing it, we're expanding there. And Target is doing very, very well. Our food hall, Trader Joe's, et cetera, all of the Core building blocks are doing exactly what we want. And we're now, I think, very, very close measured as quarters of getting those right tenants in McNally Jackson, which is a SoHo-based experiential bookstore is opening. There is two or three others that, I think, we're close to announcing. We want to be deferential to our retailers and let them announce first, but it's feeling closer now than it ever have. And the key for us is not rush it, but to get it right. Thankfully, the core building blocks are coming into place. And then let's not ignore the fact that it is still more of a construction zone for longer than I wanted, but with -- for at least a short period of time the tallest residential tower in Brooklyn, I know it's just been topped off. That's our Phase 3. Then right next door to it, you may have read Stern just got financing for what will then be the largest tower in Brooklyn. It's the population growth, the shifts that are going on there are pretty exciting. And so we want to make sure as we're bringing in ground floor retailers, that they are the right ones to capture all of this change, but it is taking longer than we wanted from that perspective.
Todd Thomas: Or do you think you're still on track for the stabilization in 2020?
Ken Bernstein: I hope so. I hope so. We'll know a lot more over the next quarter or two.
Todd Thomas: Okay, thank you.
Operator: And our next question will come from the line of Craig Schmidt with Bank of America. Your line is now open.
Craig Schmidt: Ken, I wondered what your read is for urban street transaction market following the QIA sovereign wealth fund and crown acquisitions, acquisitions of Manhattan retail real estate?
Ken Bernstein: So, we spent a fair amount of time talking to the different institutions. Hopefully, we spent more time talking to our retailers, but certainly fair amount of time. Few things that we have heard is again for global investors owning great real estate in key gateway markets is where they are focused, for me. Then within that, when you say, Well, how about retail? The response has been a few things. One, retail requires a level of expertise that we need to be very careful about. And I like to hear that because again we don't want to see this space overcrowded by amateurs and there are a handful of very talented groups out there. We think we're one of them, that institutional capital should follow into what is complicated street and urban retail. But compared to any other type of retail, that is where they seem to voice the highest level of enthusiasm, and you're seeing transactions that would indicate that. And then the other thing that, I think, is good news is we're starting to hear, I hope it's true, that maybe the public markets are a great way for institutions to get this kind of exposure. So compared to a year or two ago, where they were just running away, we are seeing institutions saying, We want and need exposure to these great markets. We need to do it through great manager operators and we're looking at it, a variety of different ways. But I would expect to see more capital heading in. It's still a bit early. The institutions generally move a little bit slower, but we're starting to see that ramp up.
Craig Schmidt: Great. And then just thinking about acquisitions beyond the $130 million in Fund V. Is that equally balanced between the high yielding and the value add as well?
Ken Bernstein: It's still tending more towards the high yielding side. And to be clear, we really enjoy doing the value-add deals when we can get them done on time, on budget and get them leased up, but construction costs continue to concern me and timing is very important. So we're starting to see some redevelopments.  Teams working hard on seeing if we can make them pencil out. But in the interim, where we can buy yields between 7.5 and 8.5, we're having to be more selective than I initially thought, but we are seeing enough deal flow on that side that 2/3 of what I anticipate to be our total pipeline for the year, probably will be more on this high yield, where we are levering two to one interest rates are very favorable. We are clipping a low to mid-teens depending on the growth profile going in, and we can get the majority of our return out of cash flow. So that still seems to make sense as long as we're being careful about it, but if a couple of these redevelopment opportunities hit, those will be really exciting.
Craig Schmidt: Okay thank you.
Operator: [Operator Instructions] And our next question will come from the line of Vince Tibone with Green Street Advisors. Your line is now open.
Vince Tibone: Would you consider selling assets in the suburban portfolio if there were additional street retail opportunities? And I'm just curious how that would rank as a funding source relative to additional debt or equity?
Ken Bernstein: Yes, so the short answer is yes. But let me add a little more color into this. As we've said, while it's about 50% of our NOI, it's probably only 30% of our NAV, the suburban portion of our portfolio. And all of it is within our core competencies, meaning the team at Acadia, what we have done over the last several decades has included everything on the suburban side through the street and urban. But just because it's part of our core competencies, doesn't mean it needs to be part of our Core portfolio. And within that, I would say about half of our suburban -- existing suburban Core portfolio blends in very nicely. Seeing retailers, whether it's T.J. Maxx our Target, seeing style of real estate higher barrier to entry with some growth, albeit not as much as street and urban. And then the other half are assets that we either need to fix and then should sell or as soon as the market reloads, we should sell. It's been pretty clear based on what we're buying in our funds that prices have gapped out on that suburban side. As John pointed out from a balance sheet perspective, we don't need the cash, we don't need to do it. But one way or another, either as the markets get stronger or if we see compelling opportunities on the street and urban side, if you cut our suburban portfolio in half and think about that half, those will be assets opportunistically, we would dispose them.
Vince Tibone: That make sense. I mean is there any concern about the potential earnings dilution or the – just trying to get a sense of how much potentially these sales could be, if it's half the assets or maybe not long-term holds, how are you kind of weighing those different considerations?
Ken Bernstein: The answer is, I wouldn't and I don't think anyone needs to be concerned about the earnings dilution in the near term because there is nothing that is requiring us to move on these nor do I think the timing is right. The earnings accretion from a host of our other businesses should more than offset what we might do in the normal course of business on that side. So this is not – this is – and then from my perspective, I'm going to do what makes the most sense from an NAV and a overall shareholder growth perspective. So there could be some quarter over the next 1, 3, 5 years, where there is some short-term, what I refer to as positive event dilution, but I don't think you need to take your pencils out and start factoring that in.
Vince Tibone: That's really helpful. One more for me. I mean you mentioned some about capital interest, but can you just talk specifically, do you think there's been any cap rate movements on the street retail side this year? Everything has been pretty sticky, now it seems like people – more people are agreeing on what market rent should be.
Ken Bernstein: Yes, so -- and I think what you're getting at is correct. When rents were dropping, 5%, 10%, 15%, 20%, either per year or per month, depending on who you were talking to, it was less about the cap rates. And when interest rates, when the 10-year treasury, when risk-free returns felt like they were shooting up, it was also hard to really find a balance cap rate.  Now that I think a lot of people are getting more comfortable that the pendulum is swinging, you should expect cap rates for these highly liquid gateway markets to remain relatively low. But they're at least being rational. We are finding sellers being rational on that side. And then the question is it's more about rents. If you have sellers who are fixated on rents two to three years ago as being market, well, then there's not much to talk about almost irrespective of cap rates. But now we're seeing enough sellers saying, I get it, I now see enough new leases. I recognize where the market is. Retailers are telling us that if they can get in at these rents, these are really powerful locations for them, and you start seeing more and more of them show up. And then I do think you will start to see attractive, but gateway-like going in yields with superior growth because this is how our retailers are going to make money in the future. So you put it all together. And you're absolutely right, it's less about just the cap rate than cap rates/rent/growth and demand.
Vince Tibone: Thank you. That’s all I have.
Operator: And our next question will come from the line of Michael Mueller with JPMorgan. Your line is now open.
Michael Mueller: I tried to get out of the queue, the prior question on the suburban portfolio is what I was going to ask, so I'm good.
Ken Bernstein: Great, thanks.
Operator: Thank you. And I'm showing no further questions in the queue. So now, I'll hand the conference back over to Kenneth Bernstein for any closing comments or remarks.
Ken Bernstein: Great. Thank you all for joining us today. Today is bring your kids to work day. So I'm going to head into the other conference room and see what a bunch of great school kids are working on in terms of the shopping centers of the future. Look forward to seeing you all again soon.
Operator: Ladies and gentlemen, thank you for your participation on today's conference. This does conclude our program and we may all disconnect. Everybody, have a wonderful day.